Operator: Thank you for standing by. This is the conference operator. Welcome to the Alteryx Third Quarter 2020 Earnings Conference Call. As a reminder, all participants are in a listen-only mode, and the conference is being recorded. After the presentation, there'll be an opportunity to ask questions. [Operator Instructions] I'd now like to turn the conference over to Chris Lal, Chief Legal Officer. Please go ahead.
Chris Lal: Thank you, operator. Good afternoon and thank you for joining us today to review Alteryx's third quarter 2020 financial results. With me on the call today are Mark Anderson, Chief Executive Officer; and Kevin Rubin, Chief Financial Officer. During this call we may make statements related to our business that are forward-looking statements under federal securities laws. These statements are not guarantees of future performance. They are subject to a variety of risks and uncertainties. Our actual results could differ materially from expectations reflected in any forward-looking statements. For a discussion of the material risks and other important factors that could affect our actual results, please refer to our SEC filings available on the SEC's website and the Investor Relations section of our website as well as the risks and other important factors discussed in today's earnings release. Additionally, non-GAAP financial measures will be discussed on today's conference call. A reconciliation of these measures to their most directly comparable GAAP financial measure can be found in today's earnings release. With that, I'd like to turn the call over to our Chief Executive Officer, Mark Anderson. Mark?
Mark Anderson: Thanks, Chris. And thank you so much for joining us on the call today. I sincerely hope that everyone continues to be healthy and safe during these challenging times. Given this is my first earnings call as the CEO of Alteryx, I'll start with a quick overview of our Q3 results and then share some of my observations from my first 30 days. I'll then outline what we believe is a massive market opportunity for us, highlight key customer trends. And then I'll share with you how I'm thinking about the next 90 days.  Finally, I'll turn it over to the second half of the call to Kevin. He will walk you through the details of our quarter and our outlook for the rest of 2020. Overall, the team delivered solid results in our fiscal third quarter of 2020. We actually did the quarter with approximately $450 million of ARR, up 38% year-over-year. We now have close to 7,000 customers across 90 countries, including 38% of the Global 2000. Our net expansion rate was 124% and an even stronger 135% in the Global 2000.  Our balance sheet remains extremely strong, just under $1 billion of cash and equivalents. I'm proud of what the team has delivered in Q3, as they adjusted to evolving customer buying habits. I'm also impressed with how the team engages with customers by proactively sharing best practices and helping impacted people, departments, companies, and governments, harness the power of the data that's exploding all around them and deliver improved business outcomes. I believe the need for innovation has never been greater than it is today.  In my first 30 days, I was fortunate to spend time with many of our key communities, including customers, partners, the Alteryx associates. Enthusiasm and customer delight is just incredible. Digital transformation is our customer's number one priority. And according to IDC over $1 trillion is expected to be invested in data related transformation initiatives. Alteryx has the innovation presented in an easy-to-use platform that is instrumenting these digital transformation journeys. We have a significant opportunity in front of us as defined by the $49 billion total addressable market. And we believe we are still in the early stages of this explosion. I'm convinced that we will be one of the long-term winners in this space because we delivered tremendous business outcomes to our customers each and every day. We expect to share more thoughts on our addressable market and overall strategy next spring at our Analyst Day. Please stay tuned for more details.  Now, as I dig in, it's clear that the Alteryx APA platform is a critical pillar of our customers' business transformation. We've heard this loud and clear at our very first C-Suite Executive Advisory Forum, an event we hosted virtually a few weeks ago. This included approximately 30 C-level executives from Global 2000 customers around the world. During the forum, each customer shared their vision for transformation and detailed how integral our platform is to these efforts.  The highlight for me was hearing Jonas Prising, the CEO of ManpowerGroup, speak to how important we are to his company and how progressively they're managing their data to put 600,000 people or more to work every single day. It was humbling. These businesses are not only up-skilling knowledge workers to become citizen data scientists, but they're also increasingly leveraging analytics and automation to run smarter. They specifically called out these three trends.  First, business transformation initiatives are being accelerated due to the COVID pandemic. Second, companies are struggling to leverage the massive influx of data cascading in and around their businesses every day. And third, legacy systems and manual processes are slowing down on these transformation, often separating a winners from the losers in this new age. These trends are real and aligned with the value that the Alteryx APA platform delivers.  Now turning to some highlights from Q3 customer activity. We continue to see many compelling COVID specific use cases from customers as they seek to adjust and realign operations in response to the continued challenging market conditions. For example, in Q3, the FAA expanded its footprint with the Alteryx platform in order to automate and speed up the critical transfer of data between existing systems. Alteryx allowed them to eliminate manual processes and automate their workflows during the pandemic. A U.S.-based global airline, despite having reduced their workforce dramatically as a result of COVID, expanded their use of Alteryx across 14 departments to optimize compensation, optimize staffing, understand the implications of new regulations and identify cost savings across its operations.  Our transformation initiatives within the largest companies in the world accelerate, so do Alteryx relevance. In Q3, a number of Global 2000 companies expanded their use of our platform across multiple lines of business. For example, a large drug wholesaler expanded their use of the Alteryx platform across over 10 business lines, including pricing, sales, operation tax, and finance. They're using the Alteryx platform to eliminate manual processes and drive critical business decisions around product profitability, lifecycle and sales territory optimization.  Ingersoll Rand is improving the bottom line performance by leveraging our platform for root cause analysis and inventory optimization. Not only did they see an 80% improvement in efficiency through automation, but they also rapidly upskilled their teams to use their words, they see the Alteryx automation as a game changer. I hear this time and time again. At Siemens Gas and Power, we earned the right to expand across multiple departments to significantly improve critical business processes and outcomes with pump surveillance, and supplier analysis and cash flow optimization. These companies are instrumenting their business transformation with the Alteryx platform.  Finally, we saw strength in the technology vertical. In Q3, we did business with world-class companies such as Amazon, Juniper, Intuit, Salesforce, Splunk, and Workday, just to name a few. We're humbled that some of the world's most innovative companies turn to Alteryx for advanced analytics. And speaking of innovation, our strategy is simple and consistent. We're focused on abstracting, the complexity of analytics and data science to make it accessible to the tens of millions of citizen users with our signature ease of use, no code, low code approach. Going forward, our focus will be on improving our self-service and public cloud capabilities to reduce the friction of adoption. And of course, we'll continue to work seamlessly with all types of data presiding anywhere. What Dean, Libby and Ned built here at Alteryx is incredible. Their legacy as innovators in this space is unreliable. I'm incredibly honored to step in as CEO to guide the company through the next few phases of our growth, building and scaling world-class teams and evolving organizations to align with market trends and increasing customer demands is something that I'm not only passionate about, but it's squarely leveraging my experience.  In my short time here, I've already identified a number of opportunities to simplify and streamline the current organization by building an execution framework, to optimize resource allocation and expand global operations. This will allow us to deliver more innovation faster. It's a familiar playbook for me. Near term of course, I'm focused on leading the team to a strong Q4 and a finish for 2020. And at the same time, working on a solid plan for FY 2021 and beyond.  I can assure you the next several months will be action packed. In closing, I'm tremendously excited about leading Alteryx through the next few stages of growth. I'd like to thank all of our customers, partners, and associates for their commitment to Alteryx and conviction in our ability to lead the category that we created and transform analytics, data science, and data driven process automation.  Now, let me turn the call over to Kevin to discuss our Q3 financial performance and our outlook for the remainder of the year. Kevin?
Kevin Rubin: Thank you, Mark. Overall, as Mark just outlined, we delivered a solid performance in the third quarter, specifically $450 million in ARR, up 38% year-over-year, $130 million in revenue, up 25% year-over-year $31 million in operating income and $10 million in cash flow from operations.  Before I go into details on the numbers, let me provide some more color on what we experienced in the third quarter. Customer spending trends improved modestly relative to what we experienced in Q2. We are cautiously optimistic that these improvements will continue in Q4. And as a result, we are raising guidance for the year. That said, among the trends, we continue to see include a higher level of scrutiny on spend, which has led to longer sales cycles, smaller deal sizes, and less favorable linearity relative to historical levels. And based on what we see today, much uncertainty remains in the market for 2021. Now turning back to the numbers. As mentioned, we ended the quarter with approximately $450 million in ARR, up 38% year-over-year. Based on feedback from investors this quarter, we have provided historical ARR by quarter from Q1 2019 to present. These amounts are included in today's earnings release. Our intent in providing this metric is to give investors greater transparency into our underlying business performance as revenue can be impacted by non-operating metrics, such as contract duration.  During the quarter, we added 241 net new customers, and now have 6,955 customers, including 756 or 38% of the Global 2000. Net expansion for Q3 was 124%. And net expansion for the Global 2000 was 135%. Q3 revenue was $129.7 million, an increase of 25% year-over-year. As we discussed before, our revenue was impacted by overall contract duration of our subscription agreements. While overall duration remained at approximately two years in the quarter, we did see a slight tick down on a year-over-year basis. We expect this trend to continue in Q4. Product mix in the quarter was favorable at the higher end of the upfront range. U.S. revenue was $81.1 million, an increase of 9% year-over-year. While international revenue was $48.7 million, an increase of 70% year-over-year. We saw a relative strength in EMEA and APAC, while North America conditions remained mixed. In terms of vertical performance, Mark already highlighted our performance in technology, but financial services, manufacturing and professional services also demonstrated strength. While renewables particularly in our enterprise segment remain strong. We continue to see elevated churn levels among smaller customers and those with small Alteryx deployments. That said, churn rates improved slightly from what we saw in the first half of 2020. Before moving on, I want to remind everyone that unless otherwise stated, I will be discussing non-GAAP results. Please refer to our press release for a full reconciliation of GAAP to non-GAAP results. Our Q3 gross margin was 93%, consistent with Q3 2019. Our Q3 operating expenses were $89.6 million, compared to $73.4 million in the same period last year. The increase in expenses is primarily attributable to increases in our overall head count levels. Our Q3 operating income was $31.2 million. Net income was $27.1 million or $0.39 per share based on 69.8 million fully diluted weighted average shares outstanding. Turning now to the GAAP balance sheet and statement of cash flows. In the third quarter, we generated $9.7 million in cash flow from operations. And as of September 30, we have $983 million in cash, cash equivalents, short-term and long-term investments. We ended the quarter with 1,519 associates up from 1,515 associates at the end of Q2 and 1,176 associates at the end of Q3 2019. Now turning to our outlook for Q4 and full year 2020. Our guidance assumes the following. While we are cautiously optimistic that the overall macro environment will continue to improve. It is too early to say to definitively how quickly things may return to historical levels.  With this in mind, we assume the macro environment will be as challenging as we experienced thus far in 2020. The average duration of our subscription agreements will continue to be approximately two years, but will be a headwind relative to contract duration in Q4 2019. And approximately 35% to 40% of TCV booked in the quarter will be recognized upfront with the remainder recognized ratably over the time of the contract.  Finally, I'd like to remind you that our guidance is subject to various important risks and cautionary factors referenced in our call today and in today's earnings release. For Q4, approximately 50% of revenue will be recognized from deferred revenue and scheduled multi-year billings. Approximately 20% is expected from contract renewals and the remainder expected to come from net new business closed in the quarter. Our Q4 2020, we expect GAAP revenue in the range of $146 million to $150 million, representing a year-over-year decline of approximately 4% to 7%. We expect our non-GAAP operating income to be in the range of $24 million to $28 million. And non-GAAP net income per fully diluted share of $0.27 to $0.31. This assumes 72 million fully diluted weighted average shares outstanding. For the full year 2020, we now expect GAAP revenue to be in the range of $481 to $485 million or a year-over-year increase of approximately 16%. We still expect to exit 2020 with approximately $500 million of ARR, which translates to over 30% year-over-year growth. We expect our non-GAAP operating income to be in the range of $52 million to $56 million. And non-GAAP net income per diluted share of $0.60 to $0.65. This assumes 69 million fully diluted, weighted average shares outstanding, and an effective tax rate of 20%. But we are not providing official guidance for fiscal 2021 until our Q4 earnings call. We expect that ARR will continue to demonstrate solid growth and should increase by at least 25% in 2021.  We expect revenue growth rates to slow in 2021 as a result of shortened contract duration and other accounting inputs. We view ARR as an additional metric to evaluate the underlying health and momentum of our business. In summary, we are closely monitoring market conditions. We believe the future for Alteryx is bright as we enter the next phase of our growth, given our strong product market fit, significant market opportunity, powerful business model and our strong financial position with nearly $1 billion of cash on the balance sheet.  As Mark mentioned, we are focused on simplifying and streamlining our organization, including how we serve our customers and deliver innovation. We will continue to focus our investments on growth while being mindful of profitability. We have a proven track record of financial discipline and intend to manage our cost structure based on top line dynamics. Finally, I would also like to extend my special thanks to all of the Alteryx's associates across the globe who continue to delight our customer each and every – customers each and every day, even while working remotely in these uncertain times.  And with that, we'll open up the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Brent Bracelin from Piper Sandler. Please go ahead.
Brent Bracelin: Good afternoon. I guess first thing, Mark, congratulations on the new role here and an opportunity to lead Alteryx in the next stage of growth here. I know it's early days, and this may or may not be a fair question. But I'm ask it anyway. As you think about what you know so far, and as you look to 2021, where do you need to spend your time? As I think about, product, go-to-market, where are you going to be spending your time as you think about what needs to be done to kind of elevate this business and how do you see that split between investing your time in product and versus kind of go-to-market?
Mark Anderson: Hey, Brett, Thanks very much for the well wishes. I really appreciate it. And great talking to you again. Listen, I've been on the Board here for a couple of years at Alteryx. And certainly had a level of intimacy with the business, but being here for the last 30 days, I can tell you that it's just much more exciting than I imagined that it would be. It's an incredible business. The tool is unbelievable. And the joy that people have when they are in the tool is world-class. And I think as I look around the business just reflecting back in my experiences of long-term, sustained, hypergrowth, I see a lot of the same qualities here that I saw at F5 and Palo Alto Networks, because we really do have that incredible product experience and we're going to build and continue to evolve a really smart business around this amazing innovation. So for me that means you're constantly tweaking as over the years and long-term sustained growth. You're always evolving and changing because customers demand more, the more relevant you get to them. And so I'll definitely be spending time on the product side, looking at how are we being as easy as possible to do business with, how are we going to reduce friction of interacting with all trucks, whether it's with a human being, or with a website, or a robot. And I think we're going to really get aggressive with this innovation and really get the team to focus with customers and partners on delivering really important business outcomes to customers because that's at the end of the day, what we do. We help them sort through the massive amount of data that's swirling in and around their business every day. And make some sense out of that. And we do it like nobody else does. And I'm looking forward to being aggressive as we manage this business and look to get – improve productivity over time out of every head that we have in a business.
Brent Bracelin: I appreciate the color there. And then I guess just a quick up for Kevin, if I look at RPO backlog, it's kind of been in this $400 million to $410 million range now for four quarters. I appreciate the shorter contract duration headwinds that given the global pandemic is understandable. But does that start to impact your visibility into AR growth next year? And at what point would you expect to see kind of the larger deals start to show up in RPO?
Kevin Rubin: Yes, thanks Brent. That's a good question. I mean, look, obviously to your point RPO is impacted by duration and the nature of – and texture of contracts over time. I think it's premature for me to speculate what it would mean for 2021 though.
Brent Bracelin: Is there any correlation between RPO and ARR kind of growth trends or is that tough because of how contracts are structured in an ASC 606 accounting?
Kevin Rubin: Yes, I mean, unfortunately there's really no connection between the two exactly for your point. I mean, RPO and contract asset all just a function of bookings, duration and rev rec mechanics. And as you know, ARR is more just a function of the accumulation of ACB over time.
Brent Bracelin: Got it. That's all I had. Thank you
Mark Anderson: Thanks.
Kevin Rubin: Thanks.
Operator: Thank you. Your next question comes from Tyler Radke, at Citi. Please go ahead.
Tyler Radke: Hey, thank you. I had one question for Mark and one for Kevin. Mark, I'm curious as you look at the pipeline heading into Q4, maybe give us a sense for what you're seeing. I think in the second quarter, there was a lot of activity with trial based licenses and some customers that weren't quite ready to fully commit to the full purchase price. But curious if you're more confident in the ability to potentially convert those into a full paying customers? And just give us the puts and takes for what you're expecting in Q4, obviously the guide would imply, your kind of have to add $50 million of incremental ARR, but just help us understand what you're seeing in the pipeline.
Kevin Rubin: You bet. Tyler, thanks a lot for the question I look forward to working with you. As I look at the pipeline I have been here for 30 days and you have talked to a lot of customers, excuse me. And so the pipeline looks good. I think just what we're seeing in general is, businesses sort of getting over the – just the change in how everything has to work in Q2, which for us was a miss.  And we saw people starting to get used to doing their jobs remotely and in a way that allowed us to get a little bit better visibility to the pipeline. Q4 is traditionally our strongest quarter, but at the same time we have to be mindful that businesses are really prioritizing their spend. And that's what gets me really excited about what we do is we really instrument our customers’ digital transformation journey. And they need us to do what they need to do because before COVID, it might've been to prevent from getting Amazon, but now it's existential companies have to trust and they really need us. And the guidance that we gave you reflects what I see today and we'll be working it as we always try to do. And I think you’ll hopefully see a good quarter.
Tyler Radke: Thanks. And follow-up for Kevin. I first, I appreciate the historical disclosure on ARR. I think that's super helpful. I guess my question Kevin is just trying to reconcile what appears to be pretty strong revenue growth at 25% year-over-year relative to calculated bookings actually declined 10% on RPO understanding there's a duration headwind there. But I guess the duration headwind one would think that would also show up in revenue because revenue is recognized as a percentage of the total contract value. So duration shorter that would impact revenue. But just help us understand the relative strength in the revenue versus the bookings. And even on ARR, it looked like the sequential add of ARR was less in Q3 than it was in Q2. So help us understand that. And maybe if there's any other variables, whether it's product mix that kind of came outside the range that you were expecting, that that would drive that. Thank you.
Kevin Rubin: Yes, thanks Tyler I hope you're well look. So, each of the different dynamics that you kind of ran through revenue bookings ARR, they are all driven in some respects by, each have their own components. And so, revenue certainly would have a similar impact to RPO and contract asset relative to duration. But timing of subscription contracts and things of that nature also plays a factor. And that was a bit favorable for us in Q3. ARR, look, we I think we've always said that Q3 is seasonally one of our kind of typically flat Q2, Q3 given some of geographical seasonality we see specifically in Europe. And so that ultimately, plays a factor as we think sequentially. So, I think hopefully that answers your question.
Tyler Radke: Got it. And just if I could clarify one final point on that. So, ARR represents the kind of active contracts, for instance, if you booked a deal in Q3 that had a start date in Q4 that wouldn't show up in ARR until Q4.
Kevin Rubin: If we are under contract in a subscription agreement at the end of the quarter, that is in ARR.
Tyler Radke: Okay. Thank you.
Kevin Rubin: Thanks Tyler.
Operator: Thank you. Next question comes from Derrick Wood at Cowen & Company. Please go ahead.
Derrick Wood: Great. Thanks for taking my questions and Mark, nice to meet you over the phone. And congrats on the new position. The idea of simplifying and streamlining operations I appreciate that. And I wanted to dig in a little deeper to kind of a discussion last quarter, which was the focus on refining kind of sales development programs to help drive sales productivity. Just curious how those efforts have been going so far? And maybe give us a sense, it sounds like there hasn't been a lot of hiring this year. At what point do you feel comfortable to start to kind of accelerate the sales hiring and grow the capacity?
Mark Anderson: You bet. Well, thanks for the question, Derrick. First of all, part of what I've been doing in the first 30 days is really trying to understand the team that we have, the construct of the – all of the organizational structures and really starting to reflect on my experience and time, and really understand and learn what the customers are expecting from resources at Alteryx. And then just over time, like every high-tech company does, that's growing a lot, we're constantly refining sales processes, making tweaks to comp plans. When you work in a long-term sustained marathon around hyper growth, you realize you're always tinkering and making changes just to make sure you are delivering the right top line and the right bottom line targets. So for me simplifying is, I think, about it from the customer's perspective, how do we be simple to work with? And what does that construct look like now versus even eight months ago? And I think we're just thinking about making it easier to do business with us, having, people that have specialties in certain areas, like with major accounts, living in the same towns as their customers calling on – calling and trying to drive business outcomes that are prioritized for them. On the – there was a financial question that you asked as well, Derrick towards the end, I'll pass it over to Kevin.
Kevin Rubin: Thanks Derrick. So with respect to hiring look as I mentioned in the call, I mean, we are cautiously optimistic with the momentum we're seeing. And I think as we've demonstrated in the past as we build confidence in being able to continue to invest in the appropriate areas of the business, you'll see a hiring ramp.
Derrick Wood: Okay. And may be to follow-up Kevin, last quarter, we talked about the shift towards adoption licenses, can you just touch on what the impact to customer engagement has been? Maybe it's probably early, but how these deals are kind of converted and expanded post-trial relative to expectations. And then I guess, is this a dynamic since Q4 is a kind of big renewal, big quarter for you? I mean, if there's a higher mix of these adoption licenses, is that something you've contemplated that may impact seasonality versus past few quarters? A that's it for me thanks. 
Kevin Rubin: Thanks Derek. Look, as I said last quarter adoption licenses, they're essentially a paid trial and they are just one tool in a sales person's toolbox. And it is a flexible licensing arrangement that allows customers that are interested in trialing large populations of licenses with specific outcomes in mind. It is a tool we've used for a number of years. Certainly, we attempt to put those very prescriptively into areas where we understand that the customer will have a great outcome in that regard. As it relates to Q4, I mean, certainly any impact that adoption licenses would have, would be baked into guidance.
Derrick Wood: Okay. All right. Thanks. Thank you.
Mark Anderson: Thanks, Derrick.
Operator: Thank you. Your next question comes from Ittai Kidron from Oppenheimer. Please go ahead.
Ittai Kidron: Thanks. And my congrats as well for your Mark. Good luck, for your new role looking forward to working with you.
Mark Anderson: Thanks.
Ittai Kidron: Kevin I did want to dig again into the fourth quarter. I mean, every quarter, this year, as difficult as this year has been, you've delivered quite solid year-over-year revenue growth, no matter what. And the guidance for the next quarter actually suggest a year-over-year decline. I know you are conservative guy and that's fine. But help me understand what is – what part of your business are you more worried about right here right now? With half of your revenue coming up deferred, and then I guess it's somewhere between the renewals and the new business activity, where are you more bearish, where are you more bullish with respect to those parts? And again, sorry to push on the adoption licenses. If I remember correctly, they had a six months’ time limit to them, which means here in the fourth quarter, people are going to have to make decisions. Are you not seeing very good conversion? Are not expecting good conversion from those adoption licenses into more permanent arrangements?
Kevin Rubin: Yes, thanks Ittai. Let me kind of tick through those. So look, I mean, I provided in our prepared remarks, when we look at Q4, there's still a bit of uncertainty in the market. And uncertainly is playing a factor as we establish guidance. The other thing just to keep in mind, I mean, we had a very strong Q4 last year. So as we look at the year-over-year comp, it's a little bit more challenging. And when you put on top of that the fact that we do think contract duration is going to be a headwind relative to what we saw last Q4, it just makes it a little bit more difficult when you look at it on a revenue basis. Now, if you look on an ARR basis, I mean, we're guiding for the full year, over 30% year-over-year growth in ARR, which, I think, is more indicative of what you're seeing underlying the business in terms of kind of a normalized growth rate. Finally, with respect to the adoption license. Again, I just want to emphasize, I mean that is one feature that we offer customers in very select cases that could be helpful as they consider evaluating Alteryx. And certainly they are short term in nature, they expire on their own terms. And I think as we mentioned on the call last year or last quarter, we tend to see very good conversion of adoptions. And I don't expect that rate of adoption conversion to change.
Mark Anderson: If I could just stack on – if I can just add on, certainly, I think, you'll see adoption license continue to be a part of our go-to-market, but I think a much stronger part is working with partners like PWC and the big consulting firms, big accounting firms, because they are working large transformation projects. And PWC is example, they're actually using the Alteryx platform as the lead behind in their engagements. So, they've got well over a 100,000 people that are users of Alteryx within the company. And we're looking forward to that partnership and many more.
Ittai Kidron: Very good. Maybe a follow-up for you, Mark as you think about next year. And if you are running through, I guess, the virtual hallways of the company right now, before you move into the real ones, but help me understand how you think about compensation incentives, do you anticipate much in the way of change now that the APA platform kind of vision has been rolled out and intelligence suite is available. How do you think about tweaking potentially comp in order to drive the appropriate adoption?  And maybe also you can tell some of the initial feedback from customers on APA and intelligence. Have you seen any adoption of this? That would be great to hear.
Mark Anderson: Okay. Yes, thanks for your time. So, in terms of on the comp side, as you know, I've always been a big believer in paying for performance and overpaying the over performers and underpaying the underperformers. And so in addition to, I would say, a pretty disciplined talent management framework that we'll be rolling out here, we're going to continue to want to pay people for driving the right outcomes for customers. And I mean that across the entire associate suite at Alteryx. I think we're thinking about what we want to be when we grow up as a company, as we enter this new pace with me as the leader. And, certainly we have designs on becoming mission critical to the notion of transformation for enterprise. As far as the customer response from APA, I can tell you I haven't had more than a dozen conversations with customers that have involved the APA framework. And I think people are starting to understand it. I think that maybe the bigger picture is you are going to hear us do a much better job in the future of really outlining why customers need Alteryx and why they need us now. And be very prescriptive about the outcomes, because, I think, that's what customers are demanding these patients. So I think the customers if you zoom backed out again and say that 30 or 40 customers that I've spoken to in the past 30 days I would say people are leaning in, on using advanced analytics and the APA platform that we have to really deliver benefit for their company, whether it's a company that's doing really well, we have many customers that are getting tailwinds because of COVID or whatever. So conversantly, whether it's somebody that's having a tough time, like the airline I gave in like my pre-read, it was – we're seeing that quite a bit. So we believe this is important. We want to evangelize, and inform and educate the market on how and why. And so you're going to hear a lot more of that down the future. And we'll give you a little more detail on the analyst data that we're going to have in the spring.
Ittai Kidron: Fantastic. Good luck. 
Mark Anderson: Thanks very much. You are welcome.
Operator: Thank you. Your next question comes from Brad Sills with Bank of America.
Sherry Guo: Hi, this is Sherry Guo on for Brad. Thanks for taking my question. I just had a quick one for you. Are you seeing any changes in the competitive environment at all? Thanks again.
Mark Anderson: Yes, sure Sherry. Well, although we got a 30-day window in on this in terms of digging really deep on the competitive side of things and sure there's competition because it's a $49 billion market. And we think that there's over a trillion dollars a year that's going to be spent on infrastructure applications around digital transformation. So there's a lot to go for here. But I look at the complimentary players to us that are in the cloud or the big cloud players. We expect that really strong partnerships with them to drive not only drive demand in the marketplace, but to prosecute that demand as well.
Sherry Guo: Got it. Thanks guys.
Mark Anderson: Thanks lot Sherry.
Operator: Thank you. Your next question comes from [indiscernible] from Guggenheim Partners. Please go ahead. Congress.
Unidentified Analyst: Hey guys, thanks for the opportunity. Mark congrats on the new role. I have a couple of questions. Kevin, you mentioned that the churn was still high on the commercial side of the business. Can you give us some more color on what the mix of the commercial customer says?
Kevin Rubin: Yes, thanks [indiscernible]. I'm not entirely sure what you're getting at, I mean, our commercial business is pretty consistent to most in terms of small and medium sized businesses. We've talked in the past that we obviously have seen that segment specific to churn, be most impacted in kind of the higher risk verticals or those verticals that were more obviously impacted by the COVID pandemic. And I would say it's pretty geographically consistent.
Unidentified Analyst: Got it. And then one follow-up. If I got the numbers, right, it looks like there's a huge gap in the growth you saw domestically versus international. Can you maybe drill down a bit on what the difference between domestic business and international looks like? Is it pretty okay outside the U.S.? But the U.S. growth was in the single digit. So, why such a big difference in growth was customer demand behavior while do so much better outside of the U.S. versus U.S.?
Mark Anderson: Yes, I mean, I think it's really two main factors. First of all, we still, continue to see kind of mixed results in the North American market. And I think that is a function of kind of what's been going on with COVID and the pandemic. On the other side, in terms of international have seen relative strength in EMEA and APAC. As I mentioned those geographies, at least for the third quarter, I think, were less impacted by the pandemic. And that certainly helped us. And the growth rates are obviously off of smaller basis for that region as well.
Unidentified Analyst: One last one, I’ll let you guys go, back to the adoption licenses, I know we are all expecting a lot of renewal or convergence happening in Q4 from an adoption licenses. Can you quantify are revenues today at where they are today, reflecting those adoption licenses, or they're not being counted in those metrics for Q3?
Chris Lal: Yes, again, just as a refresher adoption licenses, they are fore fee and they are, short-term in nature. We do charge and that is considered a revenue and ARR in that respect to the extent that it's still outstanding at the end of the period. And then those will come up for renewal if you will or for conversion at the end of the adoption period. And as I mentioned, they tend to convert quite well. But they are just one tool in the toolbox. And so I just caution the emphasis.
Unidentified Analyst: Right. The question – the clarification that I had was if somebody is on adoption license today, they're already been counted in the ARR, they can work to a full-fledged agreement, it’s not incremental to ARR right, because they're already a paying customer. [Indiscernible] any upside to revenues or ARR.
Kevin Rubin: Well no, that is not the case. I mean, if somebody buys a $25,000 adoption in April, and that adoption comes due in October and they convert that adoption to a much larger contract. When we measure ARR at the end of the year, it will be representative the nature of the contract that’s in place at the end of the year. 
Unidentified Analyst: Got it. Thank you.
Kevin Rubin: Thank you.
Operator: Thank you. Your next question comes from Patrick Walravens from JMP. 
Patrick Walravens: Great, thank you. One for each of you. So, Mark, first of all, you mentioned the cloud a couple of times now. I guess what's the opportunity there? You said we expect really strong partnerships with the big cloud players. So who, and how might those partnerships work?
Mark Anderson: Pat first of all, nice to meet you and looking forward to working with you and thanks for the question.
Patrick Walravens: Yes, same here.
Mark Anderson: First of all, I want to reiterate that one of the things that I've been proud of being on the Board at Alteryx, the last few years is just how focused on customers we are. And I think we listen to our customers. And of course we care where our customers are putting their data. And more and more over time, certainly over the next decade, they're going to put more and more of their data on someone else's premises, whether that's in Amazon's cloud data centers or Microsoft cloud data centers, they're going to put – they're going to evolve to put it there over time. We think data is going to be everywhere for a very long time. And that's part of the complexity of getting insights out of all of that data. Partnerships like AWS, partnership like Microsoft, partnerships with we've got hundreds of customers like Snowflake. On the Snowflakes side of things. And we really feel that this is an important market to you have to represent we'll share our deeper technical strategy in the spring at the Analyst Day.  I would expect that, over the next couple of years, Alteryx customers will be able to manipulate data that’s anywhere and be able to do all the amazing things that they can do with it, with our signature, ease of use, dragging and dropping and tubing, that's where we're going. And we haven't really released too many details about the specifics, but we will certainly in the spring.
Patrick Walravens: Okay. That's super helpful. And then Kevin, stepping back for a moment, I mean, not too many people are comfortable guiding for 2021 in this environment. And you told us that you expect 25% ARR growth. I'm not sure where the Street is, but that's higher than what I had. So what gives you that confidence?
Kevin Rubin: Yes. Thanks Pat and hope you’re doing well. Look there's a few things, I mean, we obviously have very long standing customer relationships and understand the nature of those, they’re obviously informing us. We've had very strong net expansion rates for quite some time, 124% over the customer base this quarter and 135% in the Global 2000. And then if you just – I mean, stepping back, I mean, this is a $49 billion TAM, and there's just a massive opportunity. The combination of all of those things certainly gives me confidence. 
Patrick Walravens: Great. Thank you.
Mark Anderson: Thanks very much Pat.
Operator: Thank you. Your next question comes from Yun Kim at Loop Capital Markets. Please go ahead.
Yun Kim: Thank you. Hey Mark, first congrats on the appointment. I know you only have – you only been there for about a month, but can you just talk about some of the go-to-market, thinking that you might have for instance in regards to verticalization, I think, you talked about automation in your prepared remarks quite a bit. Do you feel that you need to verticalize your solutions more to better penetrate the Global 2000s? And then also, obviously if you do that, then do you need to also tailor your sales and go-to-market efforts around more verticalization? Thanks.
Mark Anderson: Yes, great question Yun. Thank you. And looking forward to working with you as well. First of all, on the go-to-market side, again, it is only 30 days. But I mentioned streamlining and simplifying it. What happens is with a company that's growing as fast as we have over the last 23 years is – especially when you have the kind of quality leader in Dean Stoecker, the company tends to grow up and you add resources as quickly as you grow. And sometimes looking back, those resources, resources were placed in the right areas. And really that's all I'm talking about. And again I do this, every year I've done this, every year in every job is making sure we have the right seats on the bus, and then we have the right butts in the right seats on the bus. And so it's pretty simple for me. So more specifically, what that means is we're going to have people calling on major strategic accounts that have experienced calling on big strategically complex accounts in key verticals like finance, and healthcare, ones that have a real data challenges in particular. I think we haven't sort of invested in specific verticalizing those teams, because I don't like all the overhead that comes along with verticalizing. But what we've done is what we're going to continue to do is put subject matter expertise around these key verticals, you have co-located out in the field.  So if there's a big deal at City Group, we'll have somebody that's not BFSI specialists working on it, or if it's a big tax transformation deal in technology or in healthcare, we'll pull one of those levers in terms of subject matter expert resources. And we will be building out those over the next year. Regardless of sales structure, without question, we're going to be focused on high impact specific customer business outcomes that we earned the right to hear about, and we earned the right to go and help them solve. In terms of tailoring, the team – that's a very strong theme, certainly in my early discussions with the team is really focusing on the cohort of verticals and customers that have the highest predisposition to need our innovation. And so I really think about it that way. There's one company that's got the highest predisposed need for our innovation. And then there's maybe a 15,000 customers out there or target out there. And we're going to make sure that we've got proper coverage with the right expertise to prosecute all of that opportunity. And as Kevin and I have tried to maintain, there's a ton of opportunity out there for us.
Yun Kim: Great. And then Mark, on that big deal front, obviously you are kind of – you remain focused on that, but at least in the near-term, are you thinking more tactically and maybe shifting more of your attention and focus and resources around the smaller deals, even potentially breaking up some of the largest deals into the smaller deals that could close today?
Mark Anderson: What I found, Yun, is we tend not to – I don't think it's a smart thing these days to focus on a deal. I think you want to focus on the customer, their business and what we can do with our innovation to help them. And so, oftentimes when we identify a target that we think has a predisposition to need our innovation, we'll make sure we put the right resources in front of that target, whether it's a phone call for me or a meeting with Kevin. And often that first deal is a small one. Once we've got that permission, we go in and wow them with the implementation, make sure they've consumed our innovation. And then we earn permission to go back and expand it. And I think you'll find as we start thinking a little more about customer lifetime value in their journey with Alteryx, we think there's – reflect back on the pre-IPO road show that I did at Palo Alto Networks. And I think the favorite slide of all the analysts was the one that showed all the tiles, and the ratio of landing to expansion revenue over time. And I think our biggest customers, we're going to build long-term relationships with them, but the right people across the account.
Yun Kim: Great. I'm looking forward to that slide in the coming years. Hey, Kevin, real quick on the growth out of the international region, was that driven by new customer ads or just strength in the expansion deals with existing customers?
Kevin Rubin: Yes. Thank you. Look, as is the case with all of our regions, we tend to land small and 85% plus or minus of what we recorded in the period is from existing customers. So by definition and by the nature, when we look at revenue growth, it's because of our existing customers.
Mark Anderson: And Yun, it's Mark here. Just one other thing, Scott Jones, our President and CRO in the last year hired a couple of really good senior leaders to run EMEA and Asia-Pac. And I couldn't think of two better people to run those businesses. I'm certainly looking forward to supporting them as travel starts to get a little easier.
Yun Kim: Okay, great. Thank you so much.
Mark Anderson: Thank you very much.
Operator: Thank you. Your next question comes from Bhavan Suri from William Blair. Please go ahead.
Bhavan Suri: Hey, thanks for taking my question. Mark, welcome and I look forward to working with you. I wanted to start off at a slightly high level. And again, I know it's been 30 days and you've said that multiple times, but – it's a little unfair, but strategically, when you think about analytics in a downturn and a tough environment, they typically are under prioritized. No one's hiring more analysts. No one's hiring more people to do price elasticity type work. Even though, they all actually should be right, because you can optimize profitability or whatever, but you have seen an uptick coming out of downturn in 2008, whether it's Tableau or Teradata or others, [indiscernible] and others picking up great traction coming out when people said, okay, now we should invest in analytics and optimize and drive promotions or segmentation or whatever. I guess, I asked this question to Dean a little while ago. And he said, we just aren't seeing it yet. This quarter suggests you might be seeing some of it, but as you look out over the next few years, do you believe that acceleration should play out? Given the things you've commented on TAM and then the quality of the product? Just trying to understand how you think about that idea, because even when you’re at Palo Alto, you guys chose to invest analytics and non-analytics during various times of that company's tenure. So just trying to think how you think about that and what you might see, what the company might see as we come out of this?
Mark Anderson: Yes, I think it goes back, Bhavan, and thanks for the question by the way. I think it goes back to, what have we earned with the customer? Have we invested the time to understand their business and invested the time to thoughtfully come up with some areas we can help them and if we earn the right to do that. I think when we have, I've found that there has frankly been the opposite when it comes to customers that have been affected by this impact, perhaps they're chopping people, but I would submit they’re chopping the people that have lived a miserable life that one – like an Excel analyst staying in their heads to get called. They're cutting those people out and they're patching up the dry walls and they're leveraging citizen data scientists, or advanced knowledge workers that can do so much more with the information. And by the way, I think the data challenges, they’re increasing not decreasing, right. So I think the explosion of data, and especially as companies digitize everything, because you don't – when you digitize everything, you don't just, you have to reimagine it. You have to deconstruct all the workflows and people and roles and then reconstruct them digitally. And you do that with a tool like Alteryx, right. So that's why we talk about it. Instrumenting the transformation and digital transformation journeys our customers are going through. I think the long-term opportunity remains the same post-COVID without question, I think we've all woken up and realized, hey, wait a minute, everyone's an inside sales person. And lots of other different things about our business that we have to really take advantage and use the data as more like a ninja skill for analytics as opposed to just playing, surfacing some numbers.
Bhavan Suri: Yes. Fair enough. I appreciate that. And then a little more topical maybe for you, maybe for Kevin, just the pricing environment, you increased the list price server 35% the beginning of the year. And obviously, it's just a reflection of all sort of increased capabilities you've added, but you haven't changed over pricing prior to that since maybe the IPO. And so I suspect there hasn't been much pushback. It would be great, if you just give us a quick update on customer response to the price increase and just what you're seeing broadly in the pricing environment?
Kevin Rubin: Yes. Thanks Bhavan. I appreciate it. And hope you're well. We talked a little bit last quarter about the fact that we hadn't seen much pushback from server pricing and continue to be pleased with the momentum of the product. That was the same in Q3. I think to your point, we have significantly increased the capabilities of server over the years and hadn't raised that price certainly since IPO. And I think it goes back earlier than that. So look, it's a key feature and a key driver of the APA platform and hopefully, customers understand and appreciate the value it offers.
Bhavan Suri: Yes, that’s helpful. Great. Thanks guys, Mark, look forward to it and appreciate you guys taking the time to answer my questions.
Mark Anderson: Thanks Bhavan, appreciate it, man.
Operator: Thank you. Your next question comes from Mark Murphy with JPMorgan. Please go ahead.
Adam Bergere: Hi guys, Adam Bergere on for Mark Murphy. Thanks for taking my question. So last quarter, and I guess this quarter, you mentioned that you don't really expect conditions to improve too much for the remainder of 2020. But during Q4, you sort of mentioned intra-quarter that revenues were going to be higher-than-expected than the guided range from Q2. Is there any color you can provide on what gave you that confidence intra-quarter? And maybe it wasn't like a big deal that kind of gave you that signal?
Mark Anderson: Yes, thanks just for the question. Appreciate it. Look, I think when – as we provide guidance, I mean, it's based on all the information we have available to us. In my prepared remarks, we talked about the fact that we are cautiously optimistic that we are seeing improvements in some of the customer activity. And that's certainly baked into guidance as we provided for Q4. I wouldn't signal or indicate it was the function of one or more specific deals.
Adam Bergere: Got it. Thank you for that. And then just as a quick follow-up. The net expansion rate has been ticking down presumably because of elevated churn. Are there any kind of guideposts you can provide on where that might drop out? Thank you.
Mark Anderson: Look, I mean, we’ve been going back to IPO, I think we indicated with a degree of confidence that we believe this business over the long-term, we'll be able to sustain above 120% net expansion. And we're still notably above that, especially in the Global 2000. So beyond that, I don't know that there's any other guideposts. I mean, as we get bigger, certainly that puts pressure on net expansion, but know still incredibly pleased with what we've seen. And then I would just remind you, we are still such an early time in this very large opportunity and so plenty of room to run.
Adam Bergere: Yes. Thank you for taking my questions.
Mark Anderson: Thank you very much. Have a great day.
Operator: Thank you. That concludes our question-and-answer session. I'd now like to hand back to Mark Anderson for closing remarks.
Mark Anderson: Thank you very much operator, and thank you all for joining us on today's call. Just again, I'm super excited about the opportunity that's ahead of us. All of the associates here at Alteryx, all of our partners, as we instrument the digital transformation journey for the customers that matter to us and look forward to discussing our progress with you on the Q4 earnings call. In the meanwhile, have a great quarter.
Operator: Ladies and gentlemen, thank you for participating. You may now disconnect your lines.